Operator: Hello, ladies and gentlemen, and welcome to participate in IT Tech Packaging Third Quarter 2019 Earnings Conference Call. At this time, I would like to inform you that this conference is being recorded. [Operator Instructions]. Joining us today are Mr. Zhenyong Liu, IT Tech Packaging Chairman and Chief Executive Officer; and Ms. Jing Hao, the company's Chief Financial Officer. Remarks from both Mr. Liu and Ms. Hao will be delivered in English by interpreters. IT Tech Packaging announced its third quarter 2019 financial results via press release yesterday, which can be found on the company's website at www.itpackaging.cn. First, Mr. Liu will brief you on the company's key operational highlights over your third quarter 2019, and then Ms. Hao will review the company's financial results. Before we start, I would like to draw your attention to our safe harbor statement. Management's prepared remarks contain forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact in each announcement are forward-looking statements, including but not limited to, anticipated revenues from the corrugating medium paper, tissue paper and offset printing paper business segments; the actions and initiatives of current and potential competitors; the company's ability to introduce new products; the company's ability to implement capacity expansion; market acceptance of new products; general economic and business conditions; the ability to attract or retain qualified senior management, personnel and research and development staff; and other risks detailed in the company's filings with the Securities and Exchange Commission. These forward-looking statements involve known and unknown risks and uncertainties and are based on current expectations, assumptions, estimates and projections about the company and the industry. The company undertakes no obligations to update forward-looking statements to reflect subsequent or current events or circumstances or to change in its expectations except as may be required by law. Although the company believes that the expectations expressed in these forward-looking statements are reasonable, it cannot assure you that these expectations will turn out to be correct and investors are cautioned that actual results may differ materially from the anticipated results. There is a presentation document featuring management's prepared remarks and is now available for download from the company's website at www.itpackaging.cn. Please note that there will be discussions on non-G-A-A-P financial measures or E-B-I-T-D-A, or earnings before interest, taxes, depreciation and amortization. Please refer to our press release for a complete reconciliation of E-B-I-T-D-A to net income. As a kind reminder, all numbers in our presentation are quoted in U.S. dollars and all comparisons refer to year-over-year comparisons, unless otherwise stated. I would now like to turn the call over to Mr. Liu. His comments will be delivered in English by Melody Shi from Evergreen Investor Relations. Ms. Shi, please go ahead.
Melody Shi: Thank you, operator, and good morning, everyone. Thanks for joining our third quarter 2019 earnings conference call. Our third quarter 2019 results highlighted strong recovery of our business as we managed to grow our top line by 23.3%, and our sales volume increased by 53.2% year-over-year to 72,246 across all 3 product categories, which reached the highest level since the fourth quarter of 2016. With margins and the profitability improved significantly in the third quarter, we delivered 327% and 266% growth in gross profit and net income, respectively. Thanks to continued increase in sales volume for all products as well as decrease in cost of materials and operating expenses. With $1.6 million sales generated from our PM8, the second tissue paper production facility also commenced its trial production in the third quarter, and it will be launched shortly after completing the trial operation. Over the last few months, we have some - orders for our products began to stabilize, and we expect that this trend to carry over into the rest of the year and 2020. Now I will turn the call over to our CFO, Ms. Jing Hao, who will review and comment on the third quarter financial results. Her comments will be delivered in English by my colleague, Janice Wang. Janice, please go ahead.
Janice Wang: Thanks, Melody, and thanks, everyone, for being on the call. Next, on behalf of this management team, I will summarize some key financial results for the third quarter of 2019. Also, I will occasionally refer to specific production lines associated with various products. I will make clear which products I'm referring to. For reference, the numbering system for our production lines is provided on Slide 17. Now let's look at our financial performance for the third quarter of 2019. Please turn to Slide 7. For the third quarter of 2019, total revenue increased 23.3% to $32.9 million due to the increase in sales volume of CMP products, offset printing paper and tissue paper products, partially offset by the decrease in ASP of both CMP products and offset printing paper. Total sales volume of CMP, offset printing paper and tissue paper products, increased by 53.2% to 72,246 tonnes, reaching record highs since the fourth quarter of 2016. Turning to Slide 8. For the third quarter of 2019, the CMP segment, including both regular CMP and lightweight CMP, generated a revenue of $24.3 million, representing 73.9% of total revenue. $19.3 million of revenue was from our regular CMP products, and $5 million was from lightweight CMP. CMP segment volume increased by 13.2% to 60,208 tonnes, of which 47,487 tonnes were regular CMP and 12,721 tonnes were lightweight CMP. Average selling price, or ASP, for regular CMP decreased by 28.1% to $407 per tonne. And ASP for lightweight CMP decreased 29.1% to $394 per tonne. Turning to Slide 9. For the third quarter of 2019, our offset printing paper segment generated revenue of $7 million, representing 21.4% of total revenue. Offset printing paper segment volume increased by 1030.6% to 10,198 tonnes. Average selling price, or ASP, for offset printing paper decreased by 5.1% to $690 per tonne compared to 902 tonnes at an ASP of $727 per tonne in the same period last year. Turning to Slide 10. We recognized the revenue of $1.6 million from tissue paper products for the third quarter of 2019, resulting from sales of 1,840 tonnes at an ASP of $843 per tonne. We expect to generate a continuing sales of tissue paper products this year. Slide 11 summarizes the changes in our revenue mix. For third quarter of 2019, total cost of sales increased by $2.1 million to $27.6 million, leading to total gross profit of $5.4 million, significantly increased from gross profit of $1.3 million for the same period last year, and overall gross margin of 15.3%, reaching the highest level since the third quarter of 2017. For third quarter of 2019, SG&A expenses decreased by 28.5% to $2 million, and income from operations were $3.3 million compared to loss from operations of $1.6 million for the same period last year. Operating margin was 10.2% compared to operating loss margin of 5.9% for the same period last year. For third quarter of 2019, net income was $2.3 million, resulting in $0.11 per basic and diluted share. This compared to a net loss of $1.4 million or $0.07 loss per basic and diluted share for the same period last year. For third quarter of 2019, EBITDA increased by $5.2 million to $7.1 million from $1.9 million for the same period of last year. Now shifting gear to year-to-date financial results. For the nine months ended September 30, 2019, total revenue increased 33% to $84 million as a result of increases in sales volume across all product categories. This was partially offset by decreases in ASPs of CMP and offset printing paper. For the nine months ended September 30, 2019, the CMP segment, including both regular and lightweight CMP, generated a revenue of $66.1 million, representing 78.7% of total revenue. $52.4 million in revenue was from our regular CMP products and $13.7 million was from lightweight CMP. Volume for the CMP segment increased by 58.9% to 154,502 tonnes, of which 121,774 tonnes were regular CMP and 32,728 tonnes were lightweight CMP. ASP for regular CMP decreased by 26.5% to $431 per tonne, while ASP for lightweight CMP decreased by 26.2% to $418 per tonne. For the nine months ended September 30, 2019, our offset printing paper segment generated a revenue of $13.3 million, representing 15.8% of total revenue. We shipped 18,757 tonnes of offset printing paper for the nine months ending September 30, 2019, an increase of 203% from the same period last year. ASP for offset printing paper decreased by 15.9% to $708 per tonne. For the nine months ended September 30, 2019, we recognized the revenue of $4.6 million from tissue paper products, resulting from sales of 4,697 tonnes at an ASP of $979 per tonne. For the nine months ended September 30, 2019, total cost of sales increased by $17.8 million to $75.9 million, leading to total gross profit of $8.1 million and an increase of 126% from last year. Overall gross margin of 9.6% reflects an increase of 3.8 percentage points from last year. For the nine months ending September 30, 2019, SG&A expenses were $7.4 million compared to $9.7 million for the same period last year. Income from operations were $0.7 million, and operating margin was 0.8% compared to operating loss of $6.1 million and operating gross margin of 9.9% for the same period of last year. For the nine months ending September 30, 2019, net income was $0.1 million or $0.003 earnings per basic and diluted share compared to net loss of $5.4 million or net loss of $0.25 per basic and diluted share for the same period last year. For the nine months ending September 30, 2019, EBITDA increased from $5 million to $12.5 million for the same period last year. Moving to Slide 12, 19 and 20, let's look at the balance sheet and the liquidity. As of September 30, 2019, the company had cash and bank balances, short-term debt, including short-term bank loans, current portion of long-term loans from credit union and related party loans and the long-term debt, including loans from credit union and related party loans of $4.8 million, $7.4 million and $8.8 million, respectively, compared to $8.5 million, $14.3 million and $6.9 million, respectively, at the end of 2018. Net accounts receivable was $2.8 million as of September 30, 2019, compared to $2.9 million as of December 31, 2018. Net inventory was $7 million as of September 30, 2019, compared to $2.9 million at the end of 2018. As of September 30, 2019, the company had current assets of $20.6 million and the current liabilities of $51 million, resulting a working capital deficit of $40.4 million. This compared to current assets of $24.2 million, current liabilities of $29.6 million and a working capital deficit of $5.5 million at the end of 2018. Net cash provided by operating activities was $4.6 million for the nine months ended September 30, 2019, compared to net cash provided by operating activities of $1.8 million for the same period last year. Net cash used in investing activities was $6.4 million for the nine months ending September 30, 2019, compared to $1.8 million for the same period last year. Net cash used in financing activities was $5.2 million for the nine months ended September 30, 2019, compared to net cash provided by financing activities of $0.8 million for the same period of last year.
Q - Janice Wang: In respect to this question, the management advise you that we are currently negotiating the payment terms with pension paper and probably to prepare a supplementary agreement, which extends the due date of the considering payment - consideration payment. So we will also consider bank loans to pay the balance of the consideration. Number two, when will we see more tissue paper business? In response to this question, the management advise you that the second production facility with desired capacity of 15,000 tonnes tissue paper per year has been in the trial production, and we expect two tissue paper production lines, that is, PM8 and PM9 will be fully operational of the trial production shortly. If you have any questions, please contact us through e-mail at ir@itpackaging.cn. Management will respond to your questions through e-mails as soon as possible. Operator, please go ahead.
Operator: Thank you for attending the IT Tech Packaging's Third Quarter 2019 Earnings Conference Call. This concludes our call for today, and we thank you for all listening. Goodbye.